Operator: Good day, ladies and gentlemen, and welcome to the Ichor Systems First Quarter 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session and instructions will be given at that time. As a reminder, this conference is being recorded. I would now like to introduce your host for today’s conference, Claire McAdams, Investor Relations Council for Ichor. Please begin.
Claire McAdams: Thank you. Good afternoon and thank you for joining today’s conference call, which will be available for replay telephonically and on Ichor’s website shortly after we conclude this afternoon. As you read our earnings press release and as you listen to this conference call, please recognize that both contain certain forward-looking statements within the meaning of the Federal Securities Laws. These forward-looking statements are subject to a number of risks and uncertainties many of which are beyond our control and which could cause actual results to differ materially from such statements. These risks and uncertainties include those spelled out in our earnings press release, those described in our Annual Report on Form 10-K for fiscal year 2017 which has been filed with the SEC and those described in subsequent filings with the SEC. You should consider all forward-looking statements in light of those and other risks and uncertainties. Additionally, we will be providing certain non-GAAP financial measures during this conference call and our earnings press release contains a reconciliation of these non-GAAP financial measures to their most comparable GAAP financial measures. On the call with me today are Ichor’s Chairman and CEO, Tom Rohrs; and our Chief Financial Officer, Jeff Andreson. Tom will begin with a review of the business and then Jeff will go over the first quarter financials and outlook for the second quarter of 2018. After the prepared remarks, we will open the line for questions. I’ll now turn over the call to Tom Rohrs. Tom?
Tom Rohrs: Thank you, Claire, and thank you all for joining us today for our Q1 2018 conference call. Our first quarter results serve as strong evidence that our strategy and operational excellence efforts are right on target. Our $258 million of revenue is 41% above Q4 and 74% above Q1 of 2017. This is league leading performance. Our earnings per share of $1.03 is 47% above Q4 and 81% above Q1 of 2017. Our gross margin of 18.3% is a 120 basis points above Q4 and supports and fulfills our commitment to grow our gross margins as we grow the business. Our operating margin of 13.3% is already within our target model range. This time last year, and as we went into our Q1 2017 conference call, expectations were that we would deliver just over $500 million in revenue for all of 2018 and about $0.02 a share in earnings. In the first half of 2018 alone, we will deliver revenue and earnings on a par with what a year ago our analysts predicted for all of 2018. For the full year of 2018, we believe that we will be close to $1 billion in revenues and earning close to $4 a share. This will generate about $130 million in EBITDA this year. On top of that, and our gross margin and operating margin will both show strong year-over-year increases compared to 2017 as we approach our long-term model. We are successfully achieving our goal of outgrowing the rest of the industry evidenced by the following. Our compound annual revenue growth rate of 38% since 2014, compared to 14% for the industry. Our 62% growth last year was double the growth rate for our industry. Our strong first quarter of 2018 revenue growth rates cited earlier were well above the industry, both sequentially and year-over-year. Our first half of 2018 revenue growth rate at the midpoint of 64% year-over-year and 46% versus the prior six months will be well above industry performance and we certainly expect to outperform the industry for the full year of 2018. During all these periods, we had outperformed wafer fab equipment or WFE spending, our customers’ revenue growth and the growth of just about every supplier in the wafer fab equipment market. And we have grown earnings and profits faster than revenue. As promised on our IPO roadshow a little over a year ago, and in every investor presentation since, we have executed tremendously well on accretive acquisitions that serves to expand our served available market without diluting our shareholders. Our private equity sponsor is no longer a holder of our stock, which removes any overhang that existed this past year and we have met or exceeded every key growth and profit metric set forth by our own strategic objectives or the expectations of the street. Despite our excellent performance, our market cap isn’t much different than what it was about a year ago. My conclusion is that, we are not doing a very good job of telling our story. So we will spend some time today explaining why we believe that Ichor is a great company and a great investment. We understand that investors will always be concerned about the semiconductor business cycle, but we also believe that these concerns should be mitigated. It is becoming very clear that wafer fab equipment will continue to grow through 2018. The consensus is that it will grow 10% this year. We also believe that in fact we were to see a downturn, the effects would be muted. First of all, the industry has been restructured to lessen the effects of cycles. Consolidation has removed marginal players from the field. The worst cycles result for marginal players building capacity faster than demand. There is no evidence that this has happened. Second, lead times have shrunk throughout the industry. As a result, the equipment planning horizon is shorter and there is more certainty in bookings. Past practices like double O ring are things of the past. So we believe that future cycles will be muted. Nevertheless, we have built the operational capability to manage the company in both and up or down business environment. This will reduce the impact on profits in a down environment as compared to other companies with a less variable cost structure. But today, I want to explain the reasons why we will continue to outperform industry spending and why we believe we can continue to grow in a flat or even a declining market. At a high level, there are five key attributes of our business strategy that will enable us to continue to grow above industry spending as we have done every year since 2014. First, expanding our footprint and overall market share in the weldment and precision machining business. Second, expanding our footprint and overall market share in the gas panel business by achieving a foothold in South Korea. Third, achieving incremental revenue growth in market share in our emerging liquid delivery business. Fourth, expanding our footprint and overall market share in additional geographic regions, and finally, continued strong execution in M&A. So let me go through these in some detail. First, in the area of weldments and precision machining, we increased our served markets by over $1.5 billion through the acquisitions of Cal-Weld and Talon Innovations. Before we acquire these companies, they each basically served one customer. We have significant opportunities to expand our share of these served markets by leveraging our strong relationships with our other three large customers in the U.S. and Europe and with our two new customers in Asia, we expect to achieve market share gains in weldments and precision machining beginning with initial qualifications this quarter and first revenues in the second half of calendar 2018, accelerating into 2019. Moreover, much of our additional capacity is being built in Malaysia, which has an ultra-competitive cost structure. Our second incremental growth opportunity is leveraging our foothold in South Korea through our recent acquisition of IAN Engineering. IAN is already a supplier of gas panels to SEMES and WONIK IPS. The leading Korean OEM SEMES became the seventh larger supplier of wafer fab equipment in 2017 with over $1 billion in annual sales. Their primary markets include wet processing, etch and track, all markets we can serve with our portfolio of weldments precision machining and fluid delivery systems. IAN’s second largest customer is WONIK IPS, also one of the fastest growing equipment suppliers in Korea with nearly $400 million in sales last year, primarily in CVD segment. These two OEMs together grew 2017 revenues 150% over 2016, and are now serving over 5% of the total worldwide market for etch, CVD, ALD, tracks and wet cleaning. Today IAN provides the gas panels to these customers which means our overall share of the gas panel market is increasing with this acquisition. We can further expand our position within the subsidiaries of the U.S. OEMs in Korea. Furthermore, we will now be able to also leverage our weldment and precision machining solutions as well as our chemical delivery and in particular, our new liquid delivery modules to serve the South Korean market. These additional opportunities will be an incremental growth driver as we exit this year but certainly in 2019. The next key driver for our outperforming the overall market is our growing market share in liquid deliver y modules which had a de minimus contribution to last year’s revenue. We won a substantial award with the U.S. Silicon last year which is just beginning to kick in and in a small way for the first half of 2018 and will certainly add incremental growth to the top – on top of our core gas panel business in the second half of 2018 and in 2019 and beyond. Furthermore, we own the IP on this proprietary liquid delivery module and are working closely with multiple additional OEMs to expand our reach in clean, track and other wet processes to further increase our market share. Our next growth vector is additional geographic expansion. We are engaged in strategies to expand our market share with equipment OEMs and additional customer markets in particular in Japan. We are eager to bring our liquid delivery products to some of the largest OEMs there which has a sizable market share in the wet processes such as clean and track. This should be a significant source of incremental revenue in 2019. Finally, we are continuing to pursue additional acquisitions which fit our strategy and are accretive to our earnings. We will continue to use our strategy that has been widely successful with Ajax Plastics, Cal-Weld, Talon Innovations, and now IAN. We will stay with our strategic strengths of fluid dynamics in the semiconductor market space. We will work with our growing list of customers. We will buy companies that give us the platform for additional revenue growth and we will do deals that are accretive. In summary, my objective today is to communicate why we are outperforming the industry this year. We’ll outperform again in 2019 and for years to come. To sum up, first, we are gaining market share by expanding our weldments and precision machining businesses beyond a single customer previously served Cal-Weld and Talon. Second, we are gaining market share within the gas panel business by gaining a foothold in Korea. Third, we are gaining share in the liquid delivery business through major OEM wins that we can further leverage with our recent acquisitions. Fourth, we are continuing to grow our international presence and finally, there are additional opportunities for M&A and we have a great track record of picking the right ones. As I said earlier, we have grown the wafer fab equipment industry since 2014 with 38% annual growth versus the industry’s 14%. We will continue to grow the industry with WFE expected to grow 10% in 2018, we will grow at several times that rate then can do so again in 2019 with a continued robust spending environment. And most importantly, for everyone who is worried about semiconductor cycles turning down that, even in a flatter declining equipment market, we believe we can still show strong growth due to the incremental revenue streams I just enumerated. Let me repeat that. With all of our anticipated growth vectors, our revenue will still grow next year even if WFE spending declines. I believe you all have the confidence that Ichor has been executing against our strategic growth initiatives at a nearly unmatched rate growing the industry and every one of our peers. We hope to also convey our confidence and another year of revenue growth outperforming the industry with expanding growth in operating margins, strong earnings growth and continued drivers for incremental growth in 2019. And with that, I will turn it over to Jeff to provide more detail around our first quarter financial performance, our guidance for the second quarter and further details regarding our recently announced debt refinancing, stock repurchase plan and acquisition of IAN. Jeff?
Jeff Andreson : Thank you, Tom. Before I begin my comments, I’d like to remind you the P&L metrics discussed today are non-GAAP measures unless I identify the measure as GAAP-based. These measures exclude the impact of share-based compensation expense, amortization of acquired intangible assets, non-recurring charges and discrete tax items and adjustments. I would also like to note that we have added a schedule which summarizes GAAP and non-GAAP financial results discussed on this conference call, as well as key balance sheet and cash flow metrics and revenue by geographic region to the Investors section of our website. First quarter revenues were a record $258 million, increasing 41% from the fourth quarter and 74% from the first quarter of 2017. We exceeded the high-end of our revenue guidance as each area of our business, fluid delivery, weldments and precision machining strengthened versus our outlook as we entered the quarter. In the first quarter, we adopted the New Revenue Recognition Accounting Standard, which did not have an impact on the timing of our revenue recognition. Our record Q1 gross margin of 18.3% increased 120 basis points from the fourth quarter, which was slightly better than the 100 basis points of improvement we had forecasted. As expected, the increase compared to the fourth quarter was primarily driven by the accretive contribution of our acquisitions, as well as the higher revenue volume and was slightly higher than forecast due to favorable product mix. Versus the year ago period, our gross margin improved by 210 basis points, primarily reflecting the impact of both the Cal-Weld and Talon acquisitions. Importantly, our gross margin increased for the third straight quarter showing strong progress towards our improved target model range of 19% to 20%. Operating expenses were $13.1 million or 5% of revenue and were in line with our expectations. The increase from the fourth quarter was primarily driven by the inclusion of a full quarter of operating expenses of Talon. Our record operating margin of 13.3% increased 210 basis points from the fourth quarter and 280 basis points from the first quarter of 2017. On the strength of the steep revenue ramp we had in Q1, we were able to perform within our published target model range for operating income for the first time. Our tax rate for the quarter was 12.7% and at the higher end of the range we provided due to a higher contribution of profits from our U.S. entities. Net income was a record 10.6% of revenue and EPS was $1.03 increasing 47% from the prior quarter and up 81% from the first quarter of 2017. This was our ninth straight quarter of sequential earnings growth. EBITDA for the quarter which is listed on the supplemental schedule referenced earlier was also a record at $36 million or 14% of revenue and increased 68% from the fourth quarter and 117% from the year ago period. As you will see on the schedule, we have also grown EBITDA for nine straight quarters and have delivered $93 million in EBITDA over the last 12 months. Now I will turn to the balance sheet. Cash of $63.8 million declined $5.5 million from the fourth quarter. Free cash flow was a use of $4.5 million, our working capital increased primarily for accounts receivable as our payables offset the increase in inventory for the quarter. Capital expenditures were $3.7 million, as we continue to add capacity in our Singapore, Malaysia and Portland facilities. The reduction in cash also reflects the use of $5 million to repurchase 196,000 shares of stock during the first quarter, which I will discuss further later in my remarks. Days sales outstanding of 27 increased slightly from the fourth quarter of 25 days. Inventory increased to $164.6 million or 6.5% versus a revenue increase over 40% and so we continued to focus on improving our inventory turns. While free cash flow generation fluctuates quarter-to-quarter based on working capital investments, we expect strong free cash flow performance in the second quarter. During the first quarter, we completed the refinancing of our existing debt with a term loan facility of $175 million and increased the company’s revolving credit facility to $125 million, of which we currently have $108 million available. The credit agreement decreased the applicable interest rate by 25 basis points as well as extended the maturity from August 2020 to February 2023. Additionally, the credit agreement increased the maximum leverage ratio to three times from 2.5 times. The current base rate is LIBOR plus 2.25% and this will be reduced by 25 basis points in June as our leverage ratio will drop to 1.3 times. Given the reduction in our debt leverage ratio and the availability of over $100 million in incremental borrowing capacity, we have capital available for both acquisitions and opportunistic share repurchases. Our interest expense in the first quarter was $2.5 million and is expected to come down to $2.3 million in the second quarter. Beyond Q2, a similar range of $2.4 million to $2.5 million in interest expense per quarter depending on the number of rate hikes we see this year. In the first quarter, the company approved a $50 million share buyback program. As of this call, we have purchased 630,000 shares for $15 million at an average price of $23.75. This means we have repurchased $10 million of stock in the second quarter on top of the $5 million in repurchases in Q1 referenced earlier. We will continue to manage this on an opportunistic basis balancing any future purchases with our acquisition strategy, prudent management of our level of debt and cash flow generation. In April, we announced the acquisition of IAN Engineering as Tom noted earlier. While this is a relatively small acquisition, it is strategic and that it expands our addressable fluid delivery market by approximately $125 million and positions the company to further expand our weldment and precision machining market share. Our Q2 guidance today does not include any revenue associated with this acquisition, but with an annual revenue runrate of approximately $20 million, we do expect it to add incremental revenues in the second half and be accretive to earnings by the fourth quarter. The total acquisition value will be $8 million with half being paid at close and the other half paid out over the next two years provided they meet certain financial and operational conditions. Now I will turn to our second quarter guidance. We expect another strong revenue quarter moderating slightly from the Q1 record in line with our customer shipment patterns. Our forecast is for revenues in the range of $244 million to $254 million with earnings per share in the range of $0.91 to $1. At the midpoint of Q2 guidance, our revenues for the first half will be up 46% from the second half of 2017, and 64% from the first half of last year. As with any business, gross margin can vary due to changes in product mix and revenue volume, we are tracking well against our target gross margin model and we’ll continue to drive incremental cost improvements. We continue to expect to see modest increase in our operating expenses each quarter over the course of the year, but our total operating expenses for the year will certainly be within our target of less than 6% of revenues. The tax rate on an ongoing basis will be in the range of 12% to 13% this year. Given the higher contribution of our U.S. entities we are now expecting, our cash tax rate will be approximately 5% in 2018. Operator, we are ready to take questions. Operator, please open the lines.
Operator: [Operator Instructions] Our first question comes from Patrick Ho of Stifel. Your line is open.
Patrick Ho : Thanks very much and congratulations on the quarter. Tom, first off, in terms of in this [Indiscernible] March quarter, did you see any…
Tom Rohrs: Patrick you are facing
Jeff Andreson: You are breaking up, Patrick.
Patrick Ho : I apologize. In terms of the industry environment, the level of [Indiscernible]
Tom Rohrs: So, Patrick, something is wrong with your connection and it’s almost impossible to ascertain what you are asking right now.
Patrick Ho : Is this better?
Tom Rohrs: That’s a 100% better. Let’s go.
Patrick Ho : Okay, I apologize, Tom. First of all, in terms of the industry environment, can you discuss for the March quarter, the level of shipment pull-ins you might have seen and as we look going forward how is the visibility for Ichor in terms of – are you starting to see a level of visibility for the September quarter?
Tom Rohrs: So, in the first quarter, we have guided 240 to 250 through the course of the quarter. Obviously, we gained more revenue than we had thought and obviously, then some of those were items that were originally scheduled into the second quarter and were shipped in the first quarter. So, yes, there was some pull-ins into the first quarter and with that, we were more than happy to meet our customers’ requests and fulfill those. The - in terms of the third quarter, the way we are looking at that now right, is, in terms of the second half and I think with regard to the first half and second half, we are seeing as very similar to what way I’ve had described with low 50% in the first half and high 40% in the second half and I think that is something that is I think pretty robust at this point. Obviously, if we end up being high – low 50s and high 40s that will start getting us very near the $1 billion number that I spoke about. Now as I said on my script, we are working on qualifications for a lot of additional revenue with weldments and precision machining and LDM modules and qualifications are very hard to quantify from a timing perspective. That could be some that result in second half revenues which would be additive to those percentage numbers I just mentioned. However, most of them will serve towards the growth drivers for 2019 as I discussed. And we think as well over $100 million when we look at what is available there in 2019. So, we are quite bullish in terms of both the overall wafer fab equipment as I said growing 10% this year. At this point perhaps slightly front-end loaded, but nevertheless strong throughout the year and then, we are actually getting very excited about 2019 and what we can do with our incremental revenue.
Patrick Ho : Great. That’s helpful. And maybe as a follow-up question for Jeff, in terms of the supply chain and managing that. Given these elevated shipment levels and higher demand for your customers, combined with the M&A you’ve done over the last few quarters, how are you guys managing, I guess, the supply chain and your own balance sheet as well as you have given this – I guess, really high level of spending you are seeing by your customers?
Tom Rohrs: Hey, Patrick, let me – this is Tom, let me answer that for you. I am really happy with our supply chain team and last year, we added a number of executives last year, because I spoke about it during conference call. We also added a new senior executive of supply chain and he has built up a first rate team. And so, as an example, our on-time delivery gets better and better despite the large amount of purchasing and obviously, we are really happy about the large amount of purchasing. And not only that, but we only grew our inventory about 10% in the first quarter, while we were growing shipments 40%. So that gives us a lot of extra cash that we can use for things like buybacks and acquisitions. So, the supply team has done exceptionally well. We have a very good model for integrating acquisitions. We integrate them almost immediately into the appropriate functional areas and so they team up on the supply chain side almost immediately. So that’s worked extraordinarily well and overall, we’ve made some real significant investments and those investments are paying off.
Patrick Ho : Great. Thank you very much.
Tom Rohrs: Thanks, Patrick.
Operator: Thank you. Our next question comes from Edwin Mok of Needham & Co. Your line is open. Edwin, check your mute button.
Edwin Mok : Hey guys. Sorry about that. So, congrats on a great quarter and great outlooks. First question I have is, in terms of your ideal concentrations of those two largest customers I think last year it dipped a little bit already to, call it 93% I think you had combined those two as high 90s obviously. As they continue trending that way mean that are you growing from the other customers faster than your larger customers? Was it still it’s kind of same level within those two buckets?
Tom Rohrs: So, we mentioned, I mentioned during my script that the first quarter this year was really substantially above the first quarter last year. I think it was 81% above. However, our – outside of our two biggest customers, the other customers we have actually tripled in revenue from the first quarter of 2017 to the first quarter of 2018. So we are really happy about that and it gives you a pretty good indication of how things are moving.
Edwin Mok : That’s extremely helpful just we can’t see a trend and that doesn’t even include these two new Korean customers which you don’t expect until the second half of the year, right?
Tom Rohrs: No, that does not include SEMES or WONIK.
Edwin Mok : Yes. And then, kind of leads to my next question, in terms of kind of the drivers that laid out, your weldment expansion in Korea, LDM et cetera, is there a way you can rank the timing of these opportunities? I know you are going to call up all of them, but I had some – some of them is so long than you are. Just kind of give us a sense in terms of the timing of these different opportunities?
Tom Rohrs: Yes, I think we will start to see some activity on the precision machining first and we are hopeful to see some of that into the back-end of 2018. We will see some activity on the weldment side soon thereafter. And, with regard to the liquid delivery module, we actually and that looks like the first quarter we hit on all cylinders, we actually had some push out if you will of LDM because it was qualified on a very large customer, whose 10-nanometer fab was delayed. And so, we actually saw some delay of that. And so, we expect that probably to start kicking back in again in the second half. So, I would rank them that way in terms of timing.
Edwin Mok : And is it fair to say just based on call it your comments around the prepared remarks, is it fair to say that precision machining plus weldment is probably the largest opportunity available in all these different ones?
Tom Rohrs: Yes, I think that’s a fair assessment. The market size there and I mentioned that it’s $1.5 billion of weldments and precision machining that is used in the semiconductor industry alone. And, our share of that is, maybe 25% in the weldment side and probably less than 10% in the precision machining side. So, there is a lot of area for us to play in.
Edwin Mok : Great. Sorry about the background noise. Last question I have, just kind of in terms of M&A and debt capacity, I think, Jeff, you mentioned on the prepared remarks you guys had upped the debt and it sounds like you are comfortable going up to three times leverage. Is that the way to think about your debt capacity?
Jeff Andreson: No, well, the way I would think about it, Edwin, is that we can’t go to 3. We’ll probably stay something below that given that we want to make sure that we are prudent. So I’d suspect that will stay between 2, 2.5, but that’s kind of where we are looking at it right now. But we have the capacity to go to 3 should something arise, that allows us to do that.
Edwin Mok : If you don’t have, like if you didn’t come across or build income through over the next several quarters or any kind of larger deals that will need to use this debt, right. How do you prioritize, buyback versus working down the debt?
Jeff Andreson: I think the way we think about it is, I mean, obviously we’ll have to look at them all together depending on where our share price goes, we’ve – $23.75 it was what we would consider a very good value, I think and what we bought our shares back for. In light of the future, if we saw some risk to some kind of a down tick or some we might consider the debt ratio and make sure that we don’t get overleveraged. So, we’ll just have to balance it in the outlook.
Edwin Mok : Okay, great. That’s great. That’s all I have. Thank you.
Operator: Thank you. Our next question comes from Karl Ackerman from Cowen. Your line is open.
Karl Ackerman: On IAN, Jeff or Tom, I know you haven’t yet closed on IAN Engineering, but does this accelerate or postpone your ability to achieve your newly saved gross margin in that income model? And I have a follow-up please.
Tom Rohrs: Well, I don’t think it - the effect on the income model is marginal. Don’t forget we are paying $4 million now and $2 million a year from now and $2 million in two years and the current runrate is $20 million and so that $20 million is not going to move the needle that much with regard to the percentages what we are – even more excited about though is that it gives us as we said, it’s at the beachhead. But it’s also a growing point in Korea, especially with SEMES and WONIK where can sell weldments and precision machining and delivery modules which would be at the same or maybe slightly higher in some cases, margin than what we ship today. So overall, as this plays out and I think Jeff mentioned it’s over $100 million of opportunity that we see there, I think it will play very well with our long-term plan vis-à-vis growing margins.
Karl Ackerman: I appreciate that. As my follow-up, Jeff or Tom, how do you think about your manufacturing footprint today, given the soon to be four M&A deals you’ve completed over the last 24 months have brought about several smaller facilities spread across the world. Should we expect any opportunity to consolidate some of these facilities, maybe particularly in your – into your Singapore and Malaysian factories, that may drive additional OpEx leverage next year?
Tom Rohrs: Well, I think I mentioned as I was talking through the script today, we are building a lot of weldment capacity in Malaysia and so, while it doesn’t mean we are moving any one from the Cal-Weld business, because they are doing really, really well. A lot of the incremental weldments will be done in Malaysia. So, in essence, yes, that business will be consolidated with the activities we currently have in Singapore and Malaysia. And I suspect though that, in terms of where we are with Talon and also with just buying IAN, those entities will remain where they are and in fact, probably won’t be consolidated. It’s just that as they grow, we will probably do the growing part in more advantageous cost centers.
Karl Ackerman: Great. Thank you.
Tom Rohrs: You are welcome.
Operator: Thank you. [Operator Instructions] Our next question comes from Sidney Ho of Deutsche Bank. Your line is open.
Sidney Ho : Thanks for taking my question. Just to follow-up with the previous question on the acquisition. IAN offer products that are similar to what you offer today? Or today have you - additional capabilities that you can leverage to existing customers? Just trying to understand the SAM expansion opportunity, which I think you said $125 million for two customers that you mentioned?
Tom Rohrs: The products at our gas delivery systems which are very similar to what we are building today and that is a very good thing actually, because it’s a direct fit and it actually is as much as anything is very exciting because it gets us into two brand new customers. And obviously, we have opportunities to grow that particular gas delivery business and then we also have the opportunities to put our other products into the mix in Korea as we use that as a launching point. But, there will be good sharing of information between IAN and our current gas delivery capabilities. Point of fact is that, I think IAN will gain in terms of their efficiencies since, obviously we know as much about building gas panels as any one and probably more than them. So, I think that’s the way the synergies would move in regard to the gas delivery side.
Sidney Ho : Got it. But, just to follow-up to that, what was the competitive landscape in South Korea right now? And any reason why you can’t get to the same market share you have with those SEMES and WONIK as you have to know with the other two existing customers?
Tom Rohrs: Well, the competitive market in Korea is one where Samsung is very anxious to see more and more of their supply coming from Korea. And so, we felt, we wanted to be in Korea. We felt that it was important in terms of the growth opportunity to be in Korea. And this was the methodology we chose. We felt that would be very expensive and probably unsuccessful to start our own Ichor subsidiary, first of all, it wouldn’t be Korean and second of all, we wouldn’t really know how to do that. So, this is a method we chose. So, now, this puts us in a preferred position in Korea, because they will be anxious to buy the kind of product weldments, machining, et cetera, et cetera that we can do. We may end up doing some of it in Korea as well and become another indigenous source to the overall Samsung supply chain. So, it’s a very big opportunity and it will be leveraged into people who are on the Korean peninsula. Our customers in the U.S. understand this. One of them has a very, very, very, big subsidiary in Korea. I think it’s probably $800 million or so and this also puts us in a position to supply them, since they want to have Korean sources of supply. So, we think it’s important. We think it’s a great opportunity and we are very, very happy with this deal.
Sidney Ho : Great. That’s helpful. My follow-up question is, on the guidance, Q2 guidance, which part – well, taking the midpoint of your guidance that’s down 3% quarter-over-quarter, which part of the business do you expect to pullback a little bit to see weldments still growing and I think you mentioned in your previous quarter, you have expected first quarter the core business to grow 30% and how did that end up?
Tom Rohrs: Well, let me give you my perspective on this. So, you understood our first quarter, we anticipated being a at $245 million. And I’ll be very blunt with you when we looked at that in January and we are at $183 million going at $245 million and we knew everyone else was forecasting up at 8% or 9% or 10%, we were kind of saying this is real, what we are doing well, of course, we knew what we were doing and fundamentally, we preceded to do a very good job of that and even overachieved it to get to the $258 million number. When we were looking at the first quarter, we thought it was going to be $245 million in the first quarter and about $260 million to $265 million in the second quarter and we ended up pulling in $13 million of that into the first quarter. So, if you look at the half as a whole, there is no degradation at all to the total number, it’s just that customers wanted a few things earlier than others and that’s the way it played out.
Sidney Ho : Excellent. Last question, I think last quarter, Jeff you mentioned you expect gross margin to improve throughout 2018. Is that still true, especially, after a jump in Q1,what do you think will be the drivers for the improvement over the next few quarters?
Jeff Andreson: Yes, I mean, I think as you look forward, I mean, obviously, I mentioned that we had some favorability in our margin due to product mix. I wouldn’t say that we are planning on that right now. But our focus is really going to be in addition to what the new acquisitions have brought, there is still other things that we can do with those acquisitions to internally consume some of those parts. We are working on those programs. And then, as Tom said, the supply chain organization is doing a very good job at looking at how to bring our overall cost down on our other products outside of the Talon and Talon type products that we can use internally. So, those will be the drivers going forward. Obviously, depending on the revenue levels and stuff you will see some leverage up or down, so.
Sidney Ho : Okay, thank you very much.
Jeff Andreson: Okay.
Operator: Thank you. This concludes the Q&A portion of today’s conference. I would like to turn the call back over to Tom Rohrs, Chairman and CEO for closing comments.
Tom Rohrs: Thank you and thank you for joining us on our call this quarter and we certainly look forward to updating you on our Q2 call, which will be in August. Thank you.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. You may disconnect. Have a wonderful day.